Barbara Gregor: Welcome, everyone. We very much appreciate that you are taking the time for this investor and analyst call on our Q1 2024 results. This conference call is scheduled for up to 60 minutes and will be recorded. The replay will be available for seven working days. After the presentation, we will be happy to answer your questions. Today's presentation is available on our Investor Relations website. Our agenda for today, first, I will start with an overview with some key financial highlights. After that, I will walk you through the figures of the first three months as well as our full-year outlook 2024. I expect my presentation to last about 30 minutes. After the presentation, I'm happy to answer your questions. I refer to our disclaimer on page two. So, let's move to page four, financial highlights for the first quarter 2024. SMA starts its financial year 2024 as planned. The group sales of €362 million remained at about the same level of the prior year was 30 - €367 million. Large-scale had a strong start to the year in the first quarter, which sets the tone for a big year for this segment. Home and [iSales] (ph) are affected by the high stock levels as distributors and the normalized delivery situation as we expected since the slowed down of incoming orders already in H2 last year. I will provide more insights on the individual segments in a moment. EBITDA also came in as expected, reaching €50 million after €60 million in Q1 2023. And free cash flow reached minus €46 million, resulting from an increase of networking capital and order backlog stood at €1.5 billion per end of Q1. Now, let's go to page five, sales by region and by segments. On the left-hand side, you can see that EMEA, our biggest region again, decreased from 73% to 56% in Q1 2024. This is due to the high level of stocks at customers in Home and C&I in EMEA region, which led to a sharp decrease in sales for those segments in Q1. The large-scale and product solution business had an outstanding first quarter in EMEA with more than double the revenues in Q1 compared to last year. America's revenue share increased from 22% to 30%, mainly driven by the large-scale segment with strong double-digit growth in the first quarter. More than 80% of the American sales are in the large-scale segment, but we expect Home and C&I to increase their revenues in the region over the next quarters. The APEC region share of SMA's sales increased from 5% to 14%, also from strong growth of large-scale business in the region, especially in Australia and South Korea. The top three markets for SMA Group in Q1 2024 were Germany, the US and Australia. Now, let me walk you through the sales per segment on the right side of the slide. Due to the normalized supply chain situation combined with high inventory level at distributor stock, revenues in Home Segment decreased by 62%t from €163 million last year to €63 million at the end of Q1, as expected. EMEA remained the biggest region for the segment, and the segment's share of total sales thus came down from 17% compared to nearly 44% in Q1 2023. C&I achieved €71 million compared to €80 million in Q1 last year, a decline of 11%. Like in the Home Segment, reasons are the normalized supply situation combined with high inventories at distributors. EMEA remained the strongest region for the segment with 81% share of total revenues. Large-scale again showed a robust revenue development with a plus of 85% from €124 million in Q1 2023 to €229 million end of March this year. All regions recorded double-digit growth with America's again the strongest region making up 43% of the segment sales. As expected, the strong project pipeline built up since H2 of last year is now being realized in our revenues. Now, let me provide you with some more information on Q1 profitability. Profitability of the group was affected mainly by product mix as well as increased cost factors including effects from inflation and came down to €50 million compared to €60 million in Q1 2023. EBITDA in Q1 2024 includes positive one-time other income from the sale of SMA's [indiscernible] stake in the amount of €19 million and a customer consolation fee of €3 million. EBITDA margin reached 40% compared to 16% in Q1 2023 where last year's first quarter was strongly influenced by a positive product mix. With about €12 million, depreciation was slightly above last year's level of €10 million. Now, let's have a look at the segments in detail. Home solutions EBITDA was slightly negative in Q1 2024 due to the low level of sales resulting from the high level of customers inventories. This led to an EBITDA margin of minus 6% compared to a positive margin of 31% last year. As already explained, this was expected and is only a temporary effect. C&I solutions EBIT declined from minus €1 million in Q1 2023 to minus €18 million in Q1 2024 also due to the lower sales related to the high customer stock level as well as lower fixed cost degression. EBITDA margin therefore came in at about minus 26% compared to minus 2% last year. Like in our Home Solution segment, this is only a temporary situation and we expect increased revenues later this year which will also stabilize earnings. Our large-scale segment showed the biggest earning improvements in Q1 2024 reaching €41 million compared to €2 million in Q1 2023. The increase in sales and the associated fixed cost degression combined with a profitable product mix contributed to this very positive margin development. Thus, EBITDA margin increased to 18% compared to 2% in Q1 2023. The overall EBITDA margin of SMA Group amounted to 11% compared to 14% in Q1 2023. Now, I will move to the balance sheet and the networking capital on the next slide. Networking capital, which is shown on the top left of the page, reached €464 million and is above the year-end figure of €392 million. This resulted in a ratio of 24%, which is slightly above the upper end of the management target corridor of 19% to 23%. Let me explain how networking capital developed in the period under review. Inventories, end of 2023, were at €559 million and increased in the first quarter to €686 million necessary in order to ensure the forecasted revenue growth in the second-half of 2024. We still continue to invest into higher stocks on critical components to ensure delivery capabilities and to better steer our supply chain. And as you know from the past, the market dynamics change quickly in our industry and SMA is positioning itself to be prepared for a quick turnaround in Home and C&I segments. Trade receivable decreased in line with the lower revenues. Trade payables also decreased as usual in the first quarter as several invoices received during the holiday period at the end of the year and are proceeded and paid into one at the following year. Furthermore, advanced payments received from our customers increased significantly driven by our strong large-scale project pipeline. Net cash came down from €283 million end of 2023 to €243 million as a result of the buildup of networking capital in the first quarter. Now, let's have a look on the group balance sheet on the right side of the page. And as I have already explained the change in networking capital positions, I will now focus on the significant changes in the other balance sheet positions. Our non-current assets increased to €438 million, mainly reflecting investments into our product pipeline in the form of capitalized R&D project costs. Shareholders' equity increased from €686 to €750 million as per our net profit in the quarter. Provisions slightly increased from €201 to €208 million, mainly as a result of increased warranty provisions related to changes in our product mix sold. Other liabilities slightly increased to €443 million, mainly from the stock uptake of advanced customer payments, which are considered in the networking capital. That concludes my explanation of the balance sheet. Let's now have a look at our summary of cash flow on the next slide. In the reporting period, gross cash flow came in at €51 million, compared to €76 million in Q1 2023, as our operating result was below the extraordinary level of Q1 last year. Given the lower gross cash flow and the increase of networking capital, cash flow from operating activities amounted to minus €44 million, compared to plus €65 million in Q1 2023 as explained. We continue to invest in securing our ability to supply, and with the expected uptake of revenues for Home and C&I in the second-half of this year, and further strong quarters for our large-scale segment, we also expect our current investments into inventories will convert to positive cash flows by the end of this financial year. The group invested €20 million in net CapEx in the first quarter, which mainly composed investments in our product portfolio, including capitalized R&D project costs and investments in fixed assets. The increased level of investment spending was mainly related to our new platforms in Home Solutions and large-scale project solutions. These new platforms are in the late stage of development, with one of our new home solution platforms launched already in the US in Q1, and further launches planned for the next year. To support our new platforms, we are also expanding our production capabilities and capacities, especially for the highly successful large-scale segment. Considering all these effects, our free cash flow decreased from €50 million in Q1 to minus €46 million in Q1 2024. Now, let's move to the outlook for 2024. Looking at the right side of the slide, you can see that our order backlog end of Q1 2024 remains on a solid level of about €1.5 billion, which is well above the level before the supply crisis started during the year 2022. This order backlog is, as expected, well below the order backlog at the end of Q1 2023. Please remember, incoming orders declined as anticipated and as forecasted in the second-half of 2023 compared to the first two quarters of 2023 as the majority of orders in the home and C&I segments had already been placed by the end of the first quarter last year. Product order backlog remains, however, on a solid level of €1.1 billion. On the left side of the page, you can see that our large-scale product order backlog remains very strong with €880 million, followed by C&I with €118 million and Home Solution with €104 million. As already said a few times, we do not expect a significant increase in order intake for Home and C&I not before end of Q2 due to the high stock level at distributors and installers. This means that 2024 will be a back-end loaded for revenues, results and cash flow with a much more stronger second-half of the year compared to the first six months. And why do we believe in the second-half of the financial year 2024? The high stocks at distributors and installers need some time to be released. This is completely normal. But despite that, we see from Germany, which is our biggest market for Home and C&I segments, that the registrations in SMA Solutions in our Sunny Portal remain on a very high level. To give you an idea, from January to March this year, Home and C&I saw increased registration in our Sunny Portal compared to last year. Additionally, we have established various measures targeting the installers in order to generate more pull from the installer market. Furthermore, we believe that the Solar Package 1, which has recently been passed from the German government, will increase the attractiveness of investing in solar energy solutions, especially for customers in Home and C&I segments. So, let's turn to the last page, our guidance for 2024. As communicated on February 29, we continue to expect group sales to increase between €1.95 and €2.22 billion in 2024. Our planning is based on the assumption that sales in large scale will continue to grow strongly as a result of the existing high order backlog, which nearly covers our full-year sales expectations and expected H2 recovery for Home and C&I revenues after customer high inventory level comes down to normal levels. Given the expectation for revenue growth and taking into account changes in product mix and cost factors, including investments in our new products and business areas, we expect group EBITDA to reach between €220 million and €290 million with a double-digit EBITDA margin. For SMA, 2024 will be a transition year. We are coming from an extraordinary situation in 2023 with an enormous order backlog as a result from high demand combined with delivery constraints in the first month of the year. The supply chain are now returning to be normalized on a normalized level, especially for residential and commercial segments. And this has affected order intake and order backlog. Last but not least, a note on our upcoming events. We will host an investor relations event with a tour around our booth on June 20 from 10:00 a.m. to 1:00 p.m. at the Intersolar in Munich. The date will be sent out via e-mail shortly. And please, mark in your calendar August 8 for the Hampshire Figures press release and analyst call. Our next capital market day will be held in 2025, where we will also offer a guided tour in our new gigawatt factory in Niestetal. With this, I conclude the presentation, and I'm happy to take your questions.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] The first question is from Guido Hoymann with Metzler.
Guido Hoymann: Yes, thank you. Good afternoon. A few questions from my side, and the first one would be again on the US, the decision already made regarding own production on site or contract manufacturing. That would be the first one. And the second one would be addressing this so-called Net-Zero Industry Act. Do you believe that this Net-Zero Industry Act is to introduce sustainability criteria in public auctions could reduce the Chinese competition in the - also in the inverter business? Maybe the last one, do you have actually concrete indications from installers that their stocks are virtually almost run down now and that they really do plan restocking in Q3 or is it rather an assumption from your side recovering? Thank you.
Barbara Gregor: Okay, thank you very much, Mr. Hoymann, for your three questions. Let's start with the first one. The US decision is still under consideration. So, we are still negotiating, we are still investigating what is the best thing which we would like to do in the US. As you know, whatever we do, we take a lot of high aspects into the decision concerning our ESG standards. So, if we are searching for a place for a brownfield investment or searching for a contract partner or do something in the US, we still have very high ESG criteria we want to fulfill. This may look a little bit that we are late with our decision, but we take this really seriously. And we still stick on our estimation that we will add round about 3.5 gigawatt to the market, mainly focused on Home and C&I. And we will see that there are some interesting advantages in the ERA scenarios. But we still are in the phase of really thinking in detail what is the best solution and we will come with the final decision in the next few weeks. And for large-scale, we are also localizing parts of our production, but on the normal inverter, because that will come more here from the new gigawatt factory, which we are still in line and still in our focus to be a ramp up in the next financial year. So, this was for the US decision. For the assumption of recovery of H2, I already tried to explain what we take all into consideration to give us also a better view in the future. First of all, yes, there are still stocks in the supply chain. That means stocks on the distributors and also on the customer sides. But as already said, we see that the LPV installations in Germany, which is our key market, who are registered in our Sunny Portal and they grew in Q1 2024 compared to Q1 2023. That means, our products are being installed in the market and are clearly – and on the other hand, we clearly see that the sales channel, which is also shown, there is still some interruption in the sales channel. So, we see that our products are installed, but this increasing demand does currently not come in with new orders currently. On the other hand, the order income situation is slightly increasing. We have negotiated the whole order backlog again with our customers and the risk of getting huge cancellations is now more or less gone. So, everything which comes in is also already in order intake in our system and we see that there is a slight increase currently already. As always said, really order intake increase, we will expect not before late Q2. And this means then, on the other hand, revenues and also revenues result in cash flow from Home and C&I will increase significantly in the second-half of the year. As then, the high stock at the level of distributors will disappear. And we are still confident that the underlying demand is still stable and we have also taken a look into external aspects like interest rate, inflation rate, installation rate from Bundesnetzagentur and this all is accordingly with our expectation. So, your third question was concerning the Net-Zero Industrial Act. And therefore, we currently see that there are no indicators towards competitors from China. So, inverters, we do not see at the same situation as for modules. On the other hand, we see positive stimulations also from the Net-Zero Industry Act, but what is more important currently for us is that the Solar Package 1, which has been now announced by the German government, really gives positive stimulation into the market. And we assume that this will also increase our revenues and our demand, especially in the C&I business in the second-half of the year. So, these are all positive external signals. So, external signals like interest rate, inflation, governmental stimulation have not changed negatively compared to our last estimation. And on the other hand, we see that the underlying demand is still there and the underlying demand for our products like we can see in our Sunny Portal are still increasing. And this gives us a confidence that it is a temporary delay in order intake and this will disappear in the second-half of the year.
Guido Hoymann: All right. Very clear. Thank you.
Barbara Gregor: You're welcome.
Operator: The next question is from Lasse Stuben with Berenberg.
Lasse Stuben: Hi, good afternoon. I just have a question on the inventory or the working capital level. You already briefly mentioned in the presentation, but I just wanted to follow up. The inventory level is almost double what it was a year ago. And you mentioned you're getting ready for recovery and demand. And I'm just wondering, given the lead times are so short in Home and Residential, I'm just wondering what's led to that quite substantial increase in the inventory. It's really good to just have some color on that. Thank you.
Barbara Gregor: We made different decisions after the experiences in the supply chain crisis during 2021-'22. So, we decided first of all to get a wider spread of suppliers to be more resilient against short-time delivery constraints from different suppliers. So, we made strategic decision changing into a double-triple sourcing strategy from one sourcing strategy in the past. This gives us currently more security that our increasing sales, which we want to serve for the second-half of the year, we are really prepared for. On the other hand, we invested more in strategic inventory parts, which can only be bought by one or two suppliers, or maybe sometimes only by one supplier. And if there are any constraints, we also took some more strategic stock level to be secured. This all, then together with the delay in the outgoing sales, means that the networking capital increased significantly. This is for sure, this can be seen. But most of the increase is strategically driven by us on clear decisions to be better prepared than in the past. Because if we believe and we do believe that H2 will be increasing sales, increasing material will be needed. This all leads to this additional networking capital, which we are currently able to finance. On the other hand, also for establishing our new platform, which we will bring out to the market beginning of next financial year in the large-scale segment, we also have to order some critical components to be prepared for starting the production. So, this is really a mixture of product mix, current strategic decisions, and some delays in C&I and home sales development. So, we focused on building sufficiency safety stocks on critical components, but in all we are very well prepared now to serve the upcoming sales growth, which we are expecting for the second-half of the year.
Lasse Stuben: Okay, thank you. So, I guess that means for cash flow, you said you expect to be positive for the full-year. I guess the implication is its very H2 weighted, much like revenues. I guess that's the right assumption.
Barbara Gregor: Yes, our guidance, we still stick on the guidance, and this includes also a positive net cash position of around about 300 million. And we are still convinced that by increasing [indiscernible] in the second-half of the year, the current net working capital will turn into sales and latest then also into incoming cash, which will then support our guidance.
Lasse Stuben: That makes sense. And the final question I would have is you mentioned the launch of the new Home Solutions platform for the US. Can you just give some very early indications on how that's going? I know the US market is quite weak at the moment in residential, but it'd be good to hear some early thoughts on how that's being received.
Barbara Gregor: Yes, we started shipping and selling in the Q1 with the new platform. It's a hybrid inverter, a hybrid one-phase inverter. We see very good experiences in the market because the market is demanding our products as a second or third supply strategy. Also, this one-phase hybrid inverter, a string inverter is also well recognized in the market. So, we started now with the first sales experiences and we see that there will be a possibility to increase our sales over the year. Coming from scratch and coming from a zero - more or less zero market share for home segment in the US market, we have currently good possibilities to gain positive development and result out of this.
Lasse Stuben: Okay, thank you.
Operator: The next question is from Constantin Hesse with Jefferies.
Constantin Hesse: Yes, hi there. Thank you very much for taking my questions as well. First one, just quickly on margins, so, looking at your Home and C&I margins, I mean profitability was materially below what I was actually anticipating. So, I just wanted to have a quick chat on - or if you could elaborate a little bit on the cost structure, how that has changed over the last two or three years within Home and C&I? Because Home and C&I, if I look a couple of years back, at these revenue levels, especially Home, was delivering positive EBIT, so, at 60 billion revenues, Home delivering a loss. I was quite surprised. So, just wondering in terms of how the costs have changed there? That's the first question. The second question is if you can give us an update on pricing, please, how that has developed in Q1? How you see it currently developing in Q2? Specifically talking about pricing pressure here from your American peers as well as any pressure you might be seeing from the Chinese. And the last question, I just want to have another quick chat on the order flow. So, you mentioned that you're seeing a slight increase in order intake already in Q2, but you don't expect any material or orders until the end of Q2. You also mentioned that you expect inventories to normalize. So, if I go back to periods where we had normal order flow, which is before the first quarter of 2022, and I look at the typical order levels at Home and C&I, which has typically been 60, 70 million, sometimes 80 million. I mean, looking at your guidance this year, I would assume you would have to book at least another 400 million in orders in Home and C&I, and at least be able to deliver the bottom end of your guidance. So, I'm just really trying to understand how confident you can be that these 400 million can actually be achieved, which will probably have to be achieved over the last two quarters alone. So, yes, just wondering what kind of color you could share with us that gives you really the confidence that these numbers or these magnitude of orders are even realistic. That's my last question.
Barbara Gregor: Okay. Thank you very much, Constantin Hesse. Let's start with your question concerning the margin in Home and C&I. What we currently see is what we have also seen in the last year and during the development of the last year, we do need a specific break-even to come to a positive result. And as we see that we have invested in people, and on the other hand - so let's call it a margin effect. But on the other hand, we have also cost effects where we have inflation rate increasing globally. We have higher costs in our books to achieve a turnaround or achieve a break-even in Home and also in C&I. But this is the fact in all of our segments. So, we invested in people because we see that there is a huge development upcoming. And as we see currently, this is a temporary break and not a structural break. We still stick on the decision that we will see growing opportunities in all of our segments. So, we invested in people. We invested also in developing new products. We invested in CapEx, which will then lead to a depreciation rate. So, we have cost effects and also volume effects. And this gives us now the fact that our point of where we can get a positive result out. So, our break-even is higher than it was in the past. This is for sure. And we currently see that with the top line we currently achieve in Home and C&I, we cannot cover the cost structure completely. On the other hand, as a responsible entrepreneur, we're always focusing on paying attention on the cost and on the efficiency in all of our areas. So, we are also currently shifting personnel in the fabrication, in the factory from the two string inverter lines. That means for Home and C&I, into the lines for the large-scale business, where we have currently the best utilization. And we do this also to reduce the fixed cost on the different segments. And this is a possibility we have, as we have all our production under one roof, or let me say, in one or more of one fabrication possibility. And of course, this is also that we take everything currently very seriously to not increase our cost situation. And we focus only on large-scale, where we see our best growth rate. Of course, we also have to include and also invest in areas where we built up such as digitalization, for example. So, we take all this decision very seriously. We keep an eye on our cost and it is necessary neutrally also for us that we react on increasing cost and that we also increase currently our cost discipline to gain the best possible margin for the two segments. The second question was concerning pricing. And currently, we do not see price erosion in the market. So, prices are currently still stable. In the large-scale business, we see very positive margin developments. But as you know, large-scale is not as price-sensitive as Home and C&I are. So, we are gaining very good project results. We are negotiating on a very good margin level. There, our ability to deliver, our quality, and our reliability really gives us still a positive premium that we are one of the highest quality products in the market and the highest quality solution, which can also be gained in the large scale. So, they have really a very positive margin development. Price pressure will come in C&I and Home in the second-half of the year. This is what we have already also said in our last conference call. But we already assumed some price pressure also in our budget. But this will be much more lower than what we have seen in the past because we are more resilient currently as serving solutions, as selling packages, and not only dependent on the pure inverter price development. So, regarding the price development, we see that there will be some pressure in the second-half of the year, but we are well prepared with our expectations and also what we have taken into consideration in our budget planning. And now, coming to your last question, which gives us confidence in order inflow. First of all, regarding what we have said, at the distributors and at the installer side, there are still currently stocks, but we have already seen that order intake increases slightly. And we see that there are more installations of our products in the market than the normal market development shows. So, this does mean that our products are well recognized in the market. They are sold from installers and from distributors to the end users. But as the stock level is still at a special level, you can assume that the new order intake will not come before stock level are really at a significant lower level. We still believe that this will not come before end of Q2. But on the other hand, we have a lot of positive signals from the market that the overall energy transition, the overall demand, the stimulation, also from the German government by Solar Package 1 and also from the Net-Zero Act. This all gives positive stimulation that the overall market will also increase in this financial year. So, overall market is expected to increase slightly also in 2024. And this is absolutely in line with our expectation in our guidance for our sales expectation. And on the other hand, we still have a very good feasibility from the large-scale segment. We are now more or less booked out for 2024 and we are already booking into 2025 with very good margin development. We're taking back customers also in the large-scale business, which have been gone for years. But now, they come back to see that the Asian producers or other competitors are not on the same quality as we are. So, we are gaining back market share, not only in large-scale, but also in Home and C&I. And we have registered more than 1,000 new installers in our platform who are willing to take new orders in the next few months. So, we have huge new registrations and this all gives us confidence. Nobody in the market has currently a clear picture at which moment, especially at which day, the stock situation in the distributor channel will disappear. But we are absolutely convinced that we will see a strong second-half of the year. So, we are back and loaded in this financial year. And we see that the second-half of the financial year, we will see the de-stocking on track and then we expect additional sales return and also cash flow coming in.
Operator: This is the operator. We kindly ask you to please ask just one question per person. The next question is from Sebastian Growe with BNP Paribas Exane.
Sebastian Growe: Yes. Hi, good afternoon. I would like to ask more than one question, but let me start on LSPF. You said, Ms. Gregor, that quarter one has been seen for a strong year in the segment. And the question that I would have there is, how we should think about seasonality in the business. I think the historical pattern would rather call for 40%, 60% distribution between H1, H2. So, can you just share a bit more color around what you have laid into your budget when it comes to LSPF in particular for fiscal 24?
Barbara Gregor: So, currently, seasonality is often we see as higher second-half sales. This is for sure. So, the estimation is correct. On the other hand, we see that we have currently a very good order book. And therefore, we are very confident for the whole financial year. So, in the large-scale and project solution business, there are some seasonal developments. We have also seen in the past and this is what we are currently also estimating. But there are not as huge seasonal effects as we see them in Home and C&I. As large-scale and product solutions are mainly installed in areas in the world where the sun is shining more or less over the whole year. So, the seasonal fluctuation is not as high as it is in Home and in large-scale. We see some seasonality and often results in higher second-half of sales. But yes, it's in line with our expectation.
Sebastian Growe: But we should expect an acceleration, so, it means, if we start from the 240 million roughly in the quarter one, it should go well beyond the billion for the full-year. Is that the right anticipation at my end?
Barbara Gregor: As you know, we do not give guidance per segment. But as we already said, more of the half of our current sales guidance or top-line guidance is based on our large-scale estimations. Yes, this is for sure.
Sebastian Growe: I may then ask a question once again around the guidance and the expected framework that you had laid out for that potential pickup in the second-half of the year. You also mentioned that there are some measures to trigger a stronger pull from customers is what you said before. Can you elaborate on that?
Barbara Gregor: We increase the attractiveness for installers to sell our products. And therefore, we achieve more pull from the market. That means our products, they get a better installation advice. They get trainings. On the other hand, we also gain some cashback options. So, for competitive reasons, more details on pricing. And we cannot give, but we do a lot of marketing initiatives currently to increase the pull from the market.
Sebastian Growe: Okay. And finally, the restocking that you mentioned before, what is really giving you the confidence that there will be a V-shaped recovery? So if installers are now having the liberty of getting - I order now and get the allocation then next day to stretch it to the limit, the argument, why should there really be so much of a pickup? Because if I take your words, then what you said around LSPF before, then it feels like you're still looking at around 800 million or so of revenues of HS and C&I combined. So, that's still a remarkable, obviously, pickup than in the second-half of the year. So, if you could share your views there.
Barbara Gregor: It's still remarkable. This is for sure. But on the other hand, we have the overall market expectation from a lot of external sources. And every of these external sources convince our current assumption that there is a market increase also in 2024 for our overall product. So, including our solutions, including PV inverters, hybrid inverters, but also EV charging. So, the overall estimation on the market development in both segments, Home and C&I, is still stable or slightly increasing. And this is in line with our expectation. And as we said in our guidance that we see for sales, a decrease in Home Solution and for C&I, more or less a level of last year. So, this means that the external market expectations go in line with our overall expectation. And as we currently see that there are new installers, more than 1,000 registered on our portal. And we see that the registered also inverters in our portal are increasing compared to last year. This gives us a lot of confidence that after this currently temporary problem, we will see increasing H2 developments during the year. We will come to a new level of order intake as we have seen this in the years before the supply chain occurs. We will never see such a big order backlog like we had in this ordinary year 2023. This was really something extraordinary and we will come to a new normal. And this new normal will mean that we will have then enough insight and enough visibility to steer our production capacities accordingly, and gives us confidence for the next month that there will be a very strong second-half of the year.
Sebastian Growe: Thank you so much. I have no further questions.
Barbara Gregor: You're welcome.
Operator: This is the operator. We kindly ask to limit here to just one question per person. The next question is from Jeff Osborne with TD Cowen.
Jeff Osborne: Yes, good afternoon, Barbara. I was wondering if you could just quantify the inventory in the channel entering the quarter and then exiting the quarter. Some of your competitors have done that. And then outside of Germany, which you've detailed greatly on this call, what are the other top two or three markets that you anticipate will show strength in the order book in the second-half of the year?
Barbara Gregor: First of all, what our competitors can do to really quantify the distributor side really in detail, this is a miracle for me how they can do this. What we do is we speak with all of our distributors, with all of our customers on a weekly base. And we have a very mixed picture. Some of them have a very low stock already. Some of them have some stocks still in their books. And this gives really a mixed picture. But the overall tendency and the overall development is clear that stocks are declining. So, we cannot give one exact figure and not one exact date when the overstocking in the supply chain will really disappear. But on the other hand, we see that - as I said, that the installation of our inverters in our Sunny Portal are increasing. So, that means, material is really flowing out the stocks. But the stock level is not at the level where order intake will really come into our distribution channel. There are positive signals. They are increasing. So, it gives us more and more reliability into the next month's development. But nobody of us has currently a clear date when all the constraint in the supply chain would disappear. But we have positive indicators, which gives us a positive picture. And if you ask outside Germany, which are the most important markets for us, it's US market, where we have a very positive development in our large-scale business and where we see also the most important growth opportunities. We have a very strong development and positive order intake also in Australia, where we see that very significant and interesting projects are currently under negotiation and we have already seen interesting order intake in Australia and South Korea. And the other European countries like South and Europe, like Italy, Spain, but also U.K. and Benelux are also developing in line with our EMEA expectation. And therefore, this is also one of our most important advantages, that we are not so regional focused, that we have really a wide spread of opportunities. And for Home and also C&I, we are increasing all our activities in the US market significantly. And this is why we also take the decision to go on under the Inflation Reduction Act by building up our own production site or going together with a contract manufacturer because we see very good growth opportunities for Home and C&I in the US market also for the future. So, US, EMEA, and also APEC, mainly impacted by Australia, are still the growing markets under our review.
Jeff Osborne: Okay, thank you.
Barbara Gregor: You're welcome.
Operator: The next question is from Mengxian Sun with Deutsche Bank.
Mengxian Sun: Hi, thank you very much for taking my question. So, just one question from my side on the Home Solution and C&I, so, you have mentioned that the indicators are positive trends, so order has improving. And then you said you negotiated with the customer and cancellation should be also finished. And overall trend sounds good, actually. But what refrains you from expecting already a recovery in second quarter in Home and C&I, given actually you have a large sum of the order box still with 100 million for each? Are the customer is still pushing the orders into the second-half of the year? Any thoughts would be helpful. Thank you.
Barbara Gregor: So, as I already said, we do not expect an increase in order intake before late Q2. And that's meaningful revenues for Home and C&I will in course of the second-half due to the high stock level still. It is not a structure, but a temporary decline. And we have PV installers in Germany, which is one of our key markets in Q1, came in below last year. But however, our registration in the Sunny Portal has grown. And this compared to Q1 2023 means that our products are being installed and are clearly in the sales channel, which also shows that our ongoing market and sales initiatives are showing results. Therefore, we expect that order intake will come and we have negotiated on every hour order backlog that we currently see that the order backlog is now more or less cleared up so that we see that all incoming order will definitely be seen also in our order backlog, which will increase over the next month.
Operator: The next question is from Gunter Greiner with WIWIN.
Gunter Greiner: Yes, thanks for taking my question. I have just a question regarding the order book and the advance payments. So, while the order book went down by 17%, the advance payments seem to gone up by 11%. So, can you give some background how that is possible? And what's the background to that? Thank you.
Barbara Gregor: Yes, this is easy to explain. Order backlog went down due to the fact that in the first-half of the last financial year, we had this huge increase in order backlog, mainly driven by our Home and C&I segments. We asked the customers last year to place their orders for the whole financial year 2023 until mid of Q2. So, end of Q1, end of Q2, we had the highest order backlog we have ever seen, mainly driven by C&I and by our Home segments. All the advance payments are coming from the large scale business. So, in the large scale business, where we have this long-term projects, customers are willing to pay in advance and in different cash steps before the final takeover of the project is completed. So, advance payments coming from large scale where we have currently a very good development in order intake and the overall order backlog decreased by the fact that from Home and C&I, we have seen this reduction order intake started mid of last financial year. So, we have a different mixture in our order backlog currently compared to last year. And currently, as a main driver order backlog is large-scale, this gains then additional advance payments and the reduction of order backlog comes in mainly from Home and C&I.
Gunter Greiner: Thank you.
Barbara Gregor: You're welcome.
Operator: The next question is from Anis Zgaya with ODDO BHF.
Anis Zgaya: Yes, hello, everyone. Thank you for taking my question. So, it's about the guidance, a follow-up question and for the considerations already mentioned in details and the need to almost double sales in the home solution and C&I segment over the next few quarters to be above 200 million in average or about 250 for both segments per quarter. Don't you think it will be challenging to meet guidance at this stage? Thank you.
Barbara Gregor: You're welcome. As I have already tried to explain, we have a lot of external and internal indicators which gives us currently the confidence that we will be able to achieve our guided top line and also bottom line. So, increasing sales in the second-half of the financial year are necessary but absolutely foreseen to then stabilize our overall guidance from the top line. And as I already explained, we have seen a lot of external factors like inflation rate, interest rate, like the numbers of installations in our portal, like the governmental stimulation from Solar Package 1 which all gives us positive confidence that when the supply chain restrictions at distributors and customer stocks disappear, we will see new order intake, and we will see additional sales, and also revenues, and also increasing EBIT and cash flow which will then stabilize our guidance estimation. So, this is first of all which gives us the confidence. Yes, it's still challenging. It would not be challenging if we would have seen everything in order intake already in our books. And as we have currently in our order books a kind of lack which has to be filled with new order intakes in the next month, this is still a challenge. But we are an entrepreneur. We are a production company. We steer our production facilities as best as we can and we focus currently also with our capacities on our large-scale business where we have this huge increasing sales rates. There are also opportunities to increase capacities for our large-scale business within the current production frame. So, we do everything to achieve our top-line sales, guidance and by reaching the top line, also the bottom line will be achievable. And is it a challenge? Yes, it's always a challenge to drive a business and we see it's a volatile market we are in. So, every our market participants see the same situation. Currently, it's volatile. We steer our business in a very consequent way to keep everything on our best focus on large scale and also increasing our possibilities in Home and C&I. And we still are convinced that what we currently see, it's not a structural reduction in demand, it's only a temporary one.
Operator: Ladies and gentlemen, that was the last question. I would like now to turn the conference back over to Barbara Gregor for any closing remarks.
Barbara Gregor: Thank you very much, ladies and gentlemen, for your interest in our Q1 result presentation. What is important for you to take away is that SMA is still on a growth path. So, we still stick on our guidance. Large-scale will be the main driver in 2024. We see a very positive development in the segments. We do not expect an increase in order intake and meaningful revenues for Home and C&I before late Q2, beginning of Q3 due to the high stock level at distributor. That is not structural. This is a temporary decline in demand and the system approach and our diversified product portfolio makes us more resilient than we were in the past. So, thank you again for your interest. And please, do not hesitate to contact us in case of any further questions. Thank you. Goodbye.